Amanda Blanc: Okay. Good morning everybody for a pretty full room. Thank you for joining us for our half year results presentation. So as always I'll start with an update on our performance and strategic progress, and then I'll hand over to Charlotte who will take you through our results in more detail and we'll obviously finish with an opportunity for questions. Today's numbers once again demonstrate Aviva's accelerating momentum yet another six months of excellent progress. We have fantastic opportunities right across our markets the UK, Canada and Ireland. And what you're seeing is a business, which is capitalizing on those opportunities and delivering results quarter after quarter. We're executing on our consistent strategy with a unique diversified model. We're growing right across our business and accelerating in capital-light areas. And we are delivering for our customers and shareholders with Aviva colleagues at the very heart of our success. And yet as I always say there is so much untapped potential for Aviva to go after. So you should expect much more where that came from. So let's get to the results. As you can see, we've had another really strong half. We're growing. premiums are up 15% in general insurance. Net flows are up 16% in wealth and sales are up 12% in insurance, wealth and retirement. We're more profitable with operating profit and own funds generation both at double digits, translating into strong cash generation. We're delivering all this by growing our customer base and consistently hitting the mark for 19.5 million customers, our transactional Net Promoter Score is up by almost four percentage points in the last six months alone, and we're delivering for shareholders too. In June, we completed another £300 million share buyback. And today we're announcing an interim dividend of 11.9p up 7% year-on-year. These strong results further build on our performance track record their testament to our resilient business model and our customer center strategy. We know that our strategy to be the go-to customer brand across insurance wealth and retirement is the right one for Aviva. It builds on the strength and advantages of our model. We're laser focused on executing our four strategic priorities; growth, customer, efficiency and sustainability and this focus is generating results. And because we've never complacent, we upgraded our targets at full year and we have absolute confidence that we will deliver against them. As I've said, there is no shortage of growth opportunities across all of our markets. But I would like to focus on the UK for just a moment as there's been a lot going on here. There are many reasons to be positive about the UK; significant wealth, structural growth opportunities, greater political certainty, and economic stability and a welcome focus to accelerate the UK growth agenda. As a leading UK insurer we are incredibly well placed to take full advantage and expand our franchise. So just to bring this to life for you, we were already supporting pension savers with our number one wealth business and this market is expected to triple over the next 10 years to almost £5 trillion. But with four in 10 people under saving for retirement and a growing advice gap, we need to go even further. So we're working with the government to support better retirement provision, open up access to advice and stimulate greater investment in the economy. In short, we are confident in the future of UK financial services and the wider economy. And we have the necessary scale skills and model to capitalize on this. Our complementary portfolio is a real advantage. It provides resilience and the ability to grow in different market conditions. It also benefits our customers across all of their needs. As you know, our strategy is to accelerate in capital light and hitting our plans, we'll see this approach 70% by 2026, delivering more growth and higher returns for shareholders. We're achieving this by investing organically and through targeted M&A. So, let me give you a little bit more detail on the next slide. To change our mix of earnings over time, organic growth is a key lever. And as you can see, we're already delivering right across the business. We have disciplined growth in retirement and we are winning across the capital-light businesses. In wealth, Doug and the team have been cementing our leading position with £186 billion in assets. We've won 249 new workplace schemes and we've driven more than 3,500 qualified leads from Aviva into succession wealth. And Mark and the team are capturing almost 70% of workplace flows, into Aviva investors, demonstrating the power of our connected wealth proposition. In health, premiums are up 10%. And in protection, we are the clear UK number one player, with the integration of AIG protection, firmly on track. In General Insurance, we're delivering double-digit growth across the board. In the UK, Jason and the team have continued to post leading growth in retail and are expanding our leadership position in commercial lines. And in Canada, Tracy and her team are building on the success of our RBC partnership and growing commercial lines, with multiple large client wins. This is an incredibly powerful model and we continue to add new growth opportunities. Now last time I stood here, we had just announced the acquisition of Probitas, our new Life’s business. So let me tell you why we believe, it will accelerate growth for us in Global, Corporate and Specialty. We are now better positioned to serve multinational clients. And we're seeing brokers come to Aviva for even more of their needs. We've more than doubled our distribution opportunity, as a dual platform player. And we've further deepened, underwriting capabilities across our business, with Probitas track record of a low 80s average combined ratios. And having strong presence, either side of the Atlantic is a real advantage. This global market is highly attractive with £200 billion of premiums, double-digit growth and strong profitability. And though, we will remain disciplined on risk appetite, we see GCS as a significant opportunity to deliver more diversified growth for Aviva. Moving next to customer. A big part of Aviva's growth story is within our customer base. So I know you've seen this chart before, but I want to show it again because it truly sums up the power of our franchise. In the UK, we were operating at a similar scale to the leading banks and we're growing by almost 700,000 customers since 2022. Most importantly, we have 8.7 million customers, who have given us marketing permissions. This means we can contact them directly to deepen relationships and build greater levels of trust and loyalty and we're doing just that. In the UK, we now have 4.9 million individual customers with two or more Aviva policies and more than 40% of our new sales are to existing individual customers. So that is really encouraging but we are only just getting started here. And later this year we'll host a customer in-focus session, where Cheryl and her team will give you more insight into these opportunities. Realizing our ambition comes down to how we live up to our purpose with you today for a better tomorrow. So we are resolutely focused on delivering the right outcomes and improving experience for our customers. So let me give you a few examples. We're providing affordable insurance with our Quotemehappy essentials range of products. We're helping people offset emissions with Aviva Zero. We've now sold over 800,00 policies since launch two years ago. Value for money is always front of mind. So we conduct regular product assessments, making sure we are providing the right support in the right ways. And we recently rolled out our next-generation MyAviva app. With almost 7 million users, it's a crucial engagement tool for us and we're making it even easier for our customers to access all of Aviva in one place. Earlier, I spoke about how pension savers is a critical priority for the UK. With the number one workplace business and 4.7 million customers, we can have a real impact here and we're investing to build new solutions. With our find and combined service we are using AI to help customers trace their lost pensions in minutes. We're already seeing benefits with over GBP 1 billion worth of transfers into workplace this year. \ We've launched a hybrid proposition Aviva Simple Wealth to make advice more accessible. Fewer than one in 10 people pay for traditional financial advice. So this is a clear gap in the market. And long-term asset funds or LTAFs, which open up alternative assets to investors are another great example. Our two existing LTAFs have AUM of GBP 2 billion and our real estate focused fund was one of the first in the market. We are now planning to launch a new venture and growth capital strategy. Powered by Aviva investors, this will open up new investment opportunities for our pension customers and could help unlock billions of pounds of investment into unlisted growth companies. To conclude, we've often been asked about how we've managed to consistently deliver strong results like today. And the answer is of course our fantastic people, our high-performance culture and the ability to execute. I'm absolutely delighted that we have a colleague engagement score of 90%, which is well above the financial services benchmark and a step change for us. Everyone at Aviva is unified by our strategy and willing to go the extra mile, which puts us in an incredibly strong position to achieve our big ambitions. And we've invested heavily in leadership across all levels, which is paying off. So I just want to take a moment to thank everyone at Aviva, not just for their performance, which is market-leading, but also for their belief in what we're trying to achieve here and for their relentless focus on our customers. It's our 23,000 employees who keep us on the right track every single day. So that's the high-level view of our progress and delivery. I'll now hand over to Charlotte, who is going to take you through the results in more detail.
Charlotte Jones: Thanks, Amanda, and good morning everyone. It's lovely to see you all again today and to be in a position to present such great results. As usual, I'll start with a high-level view of the results before going into the business units in more depth. It's been another strong first half for Aviva. We've continued with the growth momentum that you've come to expect from us right across the group. Operating profit was up 14% to £875 million. OFG was up 10% to £758 million, with underlying OFG up an impressive 27%, supporting an improved return on equity of 12.4%. We generated £722 million of operating capital, up 17%, and saw strong growth in cash remittances. Our capital position remains very strong, with a cover ratio of 205%. Turning to our business units, they continue to deliver excellent and consistent trading momentum. We achieved double-digit growth in GI premiums, IWR sales, and Wealth net flows. And the undiscounted combined ratio remains a very strong 95.4%, a modest improvement on Q1. So let's unpack this in a little bit more detail. I'll start with our general insurance business in the U.K. and Ireland. Premiums were up 18% to £3.8 billion overall. In Personal Lines, almost half of the 30% premium growth came from pricing actions; the other half was from new business, mainly in Retail, which is mostly sold through price comparison websites and the Aviva Zero proposition. Retail is now more than half our personal lines premium and in line with our ambition to shift the portfolio mix. Commercial Lines also saw double-digit growth in premiums, split fairly evenly between new business and pricing impacts. So overall, the UK&I undiscounted core was 95.8%, 0.5 points better than the same period last year. This reflects the impact of pricing actions earning through, the beneficial operating leverage from the business growth, and mix shift impacts. Weather was favorable to plan, although a little less so than last year, and prior year development on reserve movements was a small headwind. These impacts to the underwriting result, together with higher investment returns, meant operating profit improved by 25% to £287 million. In Canada, top-line trends were similar to the U.K. We delivered 10% growth overall, with personal lines up 14% and commercial up 6%. Strong pricing actions were a feature across both segments, with new business growth in personal auto and in GCS. In auto, we've rolled out more partnerships with repair centers, and we've planned the launch of our first wholly owned repair center in Ontario. Now as anticipated, the undiscounted core of 94.7 was higher than last year. And you may recall, last year we reported exceptionally strong commercial lines results. This year there have been a small number of commercial lines losses, which offset an improved personal lines performance. As a result, operating profit was lower at £216 million. Now let's move to IWR. I'll start with an overview and then walk you through the components in more detail. Top line growth remained strong and accelerated in the capital-light insurance and wealth segments. Operating profit was up 9% driven by strong improvements in wealth and retirement. The contractual service margin, or CSM grew by 10% over the past 12 months, and by 1% since the beginning of the year to £7.3 billion. The prior half year included a significant one-off benefit from management actions that did not repeat this half. This was expected as the assumption reviews that feed into management actions typically occur in the second half of the year. So as a result operating value added of £515 million and OFG of £412 million were lower than the prior year. However, underlying OFG, which excludes the impact of management actions was 19% higher, reflecting growth in new business and better BPA margins. So, again, let me unpack these headlines in a bit more detail. Starting with Protection & Health. We completed the AIG acquisition in April, so Protection sales grew 49%. Excluding the impact of the acquisition, sales were broadly consistent year-on-year. Operating profit in Protection was up 31% to £46 million, reflecting growth in the portfolio. For the Health business, in-force premiums were up 10% due to strong new business and pricing actions. Operating profit of £23 million reflected portfolio growth offset by cost of investing in the business claims normalization and inflation impacts. Now pricing actions have minimized these effects and will continue to earn through. We're continuing to invest in this business and are really confident in reaching our ambition of £100 million of operating profit by 2026. Now let's move on to wealth. We are the largest player in the U.K. with £186 billion of AUM and a high performing business. Net flows continues to be very strong up 16% to £5 billion, or 6% of opening AUM. Within that workplace is the largest component with 4% growth in net flows to £3.5 billion. Net flows into the advisor platform were up a very strong 45%. Q1 was excellent and inflows in Q2 were higher still further demonstrating the strength of our attractive proposition with advisers. Wealth operating profit was up 27% overall to £58 million, driven by growth in workplace and platform. Profit from these businesses plus IPP and advice were up 53% to £77 million. This was partly offset by the investments we're making to build our direct wealth business, such as relaunching the proposition with Aviva Simple Wealth. We have big ambitions for Wealth, as we drive towards our goal of £280 million of operating profit by 2027. We are continuing to invest to ensure we capture the significant growth opportunity. So now to the final segment, Retirement. Book purchase annuity sales were £2.3 billion in the first half. As of today, volumes have reached £4.1 billion and we have preferred provider status on a number of deals in the market. So this means, we're expecting to write full year volumes of between £7 billion and £ 8 billion in line with our ambition for a £15 billion to £20 billion over the period from 2022 to 2024. Demand continues to grow for individual annuities, as yields remain high, but equity release market has seen further contraction. Aviva investors continues to source high-quality assets for the business, originating £1.4 billion this year and the margin for retirement as a whole was a very strong at 3.4%. For the reasons I covered earlier on Slide 19 operating value-added and OFG were lower than last year. However, operating profit was up 21% to £347 million reflecting better investment returns and the growing portfolio. Now before I go on to talk about the group topics, I'll cover efficiency. As you know, we achieved our £750 million cost reduction target last year. Our ongoing focus is on cost efficiency and operational leverage as we grow. And we have made further good progress here. As I mentioned earlier, group operating profit has grown by 14% and against strong top line growth, controllable costs increased by just 6%. So we are delivering growth whilst opening up the operating jaws. In UK GI, our distribution ratio improved by just over two points, driven by growth in retail; while in Canada where we're already very efficient compared to peers, the ratio remains broadly consistent. In IWR, the aggregate measure is the cost asset ratio. And here, we continue to see improvement with a ratio 0.5 point lower linked to growth in assets under management. And finally, in Aviva Investors, revenue growth together with the resizing of the cost base over the past couple of years supported an improvement in the cost income ratio. There is, of course, still more to go after across the group, the efficiency improvements from business growth, mix shift and ongoing cost initiatives. Going forward you'll hear us talk more about cost and operating efficiency. It's such an important underpin in driving value for our customers and in growing our profits. On to OFG, which grew by 10% at a headline level. Importantly, the prior year included £81 million of management actions and so on an underlying basis which excludes that impact OFG grew strongly by 27% to £768 million and it was UK GI and IWL that drove the improvement. Overall, the growth in OFG drove an improved group return on equity of 12.4% for the first half. Turning next to our balance sheet. It remains extremely healthy. Our cover ratio of 205% is strong. We remain well-placed to withstand changing economic conditions. And since the year-end, the capital used for the final dividend, share buyback and the Tier 2 debt redemption was mostly offset by operating capital generation and positive non-operating items such as market movements and the effects of solvency UK reforms. Our defensively positioned asset portfolio continues to perform well. And following the Tier 2 redemption in July, our leverage ratio of 29% is in line with our preference to operate below 30%. Before I finish, I'd like to cover our framework for deploying resources and performance management across the group. And I'm sure you'll remember this slide from the full year presentation. This version shows it working in action linking what we do in each component of the framework to the numbers I've just talked through. One area, I haven't covered is our focus on growing the regular dividend. And the interim dividend, we've announced today is 7% up to 11.9p with cash cost growth of 5% in line with our guidance. Overall, the examples on this slide are clear evidence of the strength of our performance culture and grip and show that our framework for capital allocation supports the delivery of great results from our diversified business model. So on to some final thoughts on outlook. We're really positive about Aviva's future. We remain absolutely confident in meeting the medium-term group targets that we set out earlier this year. Looking to the second half of this year, we will remain focused on pricing appropriately across our general insurance businesses. And we expect the underlying combined ratio will continue to benefit from the pricing actions taken last year and so far this year. In our Wealth and Health businesses, we anticipate continued growth in the second half while growth in protection is expected to moderate. And in Retirement, we expect to complete our 3-year ambition to write between £15 billion and £20 billion of BPA volumes by writing between £7 billion and £8 billion this year. On dividends our guidance for mid single-digit growth in the cash cost remains unchanged and we anticipate further regular and sustainable returns of capital. So in summary, Aviva has had another great first half. We remain confident in the business and our track record of consistent delivery continues. And with that back to you Amanda.
Amanda Blanc: Thank you, Charlotte. So before we turn to Q&A, let's take a moment to bring all of that together and remind you why we believe Aviva is a great investment. Firstly, we're the UK's leading diversified insurer with a complementary portfolio, growing our capital-light businesses and we have fantastic businesses in Canada and Ireland. Nobody in this market can replicate this successful model. Second. We have a consistent strategy, which is working with investment identified for the future. Third. We had strong organic growth in all our markets and we've accelerated through targeted M&A. This is evidenced in the numbers we're producing and we are confident that we can sustain that performance. Fourth. We now have a track record of delivery built over the last four years. And finally, we're delivering superior returns for shareholders with growing dividends and regular capital returns. So, in summary, we've had an excellent first half, but there is still much more where that came from. We have a unique platform. We have excellent people and we have clear focus areas for the next wave of growth. Thank you very much for listening. And we'll now move on to Q&A.
A - Unidentified Company Representative: Okay. So as usual, please do wait for a microphone to come to you before speaking. And please state your name and institution for the benefit of those online and for the recording. So let's start with Andy.
Andy Sinclair: Thank you very much. Andy Sinclair from Bank of America. Three for me please as usual. First, just a big drop in project spend in H1. Great to see. Is that a sustainable level going forward? Nice to see IFRS 17 costs dropping away, but there's often something that's ongoing. So is that a sustainable level from here? Second was just on the reserve additions in the U.K. Is that just a case if you've got really good results. So fixing the roof all the sun shining or anything to be aware of there? And third is just on Global Corporate and Specialty. It's a huge market and Probitas sense blocks acquisition, but you're still small in the scale of that global corporate and specialty market. What is your longer-term ambition for Aviva in that market? Do you see Aviva -term as being a truly global player across large and small? Or do you just want to stay focused on certain areas within that market? Thanks.
Amanda Blanc : Okay. Do you want to pick up the first two Charlotte? I'll pick up the third.
Charlotte Jones : Yes. So look on project spend, I mean, you can see the group center costs are down by 13%. And it is very much as you call out the long-term project that we've had running on IFRS 17 is coming to an end. We retired the £750 million efficiency program at the end of last year so all the costs of achieving that have dropped away and the strategic initiatives too. So I would take that as a decent run rate of looking at that as we go forward. I think it is important to remember that we're still attacking costs. We still have growth initiatives, but they're really very much embedded within the businesses. The only thing I'd probably call out is for the partnership extension, particularly we have a restructuring and integration number coming through there. So you'll see that, but it's within the segment. So that it won't show in Corporate Center unless it's something specific to something central. So that's how I would say on there. In terms of the U.K. prior development, I mean, it's a couple of points of adverse movement. It is of course reserve strengthening, but it's very specific. So there's some specific large losses where we've needed to make some reserve adjustments things like the COVID business interruption. We've seen some legal conclusion, so we've adjusted those reserves a little bit. There's a little bit of inflation coming through and we saw some development on prior year substance claims. So that's kind of what's driving it. And look we always reserve the best estimates. So the neutral have a neutral outlook on that. So they're very specific, I would say.
Amanda Blanc : On Probitas and entry in Lloyd, so I mean, we're very excited about it obviously. We believe it's a top performing Lloyd syndicated it's got -- it's not only got a track record of profitability, but also with growth. So we do believe that it represents a significant opportunity as we demonstrated earlier. We'll have access to international licenses, broader distribution networks and then you combine that with our existing capabilities and we think that that enhances the proposition for our global corporate and commercial customers. I mean it's literally hot off the press I guess we completed about a month ago. If we think about the longer-term ambition, so for 2024, the growth is going to focus on – the Lloyd's growth that is on the classes of business, which are already written by Probitas, so that that's as it is. As we move forward, we look at broadening the product suite and we'll expand that to the wider Aviva product suite: submarine, accident and health renewables, et cetera. So we think the combination factor of the expertise in Canada in the UK and Probitas will even further enhance the opportunity there. And of course, the relationships that we've got with the big brokers will also make a really big difference. So, you know, we're not going to set a new target for ourselves today in terms of longer-term ambition. But, you know, we wouldn't have committed a slide to it. We wouldn't have done the deal, if we didn't think that. We felt that this was a sort of big opportunity for us going forward.
Unidentified Company Representative: Rhea, should we come to you next.
Rhea Shah: Thanks. Rhea Shah, Deutsche Bank. Three questions for me, please. So first on the bulks piece. Could you just talk a bit more about the bulk quotation tool that you've now got running? How much is that contributing to the bulks that you're writing? What's the outlook for that? And second, on the Direct Wealth proposition and building, I think the last time you spoke at full year results, you were talking about building the proposition in house. So what's the progress there? What are your ambitions in the direct space over the next few years? And then thirdly in terms of the UK retail and Personal Lines piece, could you give a bit more color on home insurance pricing and also what you've seen in terms of the motor pricing for you and your outlook for the rest of the year as well?
Amanda Blanc: Okay. Charlotte, do you want to do the first one, I'll do the second two?
Charlotte Jones: Yes. So the tool of Aviva Clarity is specifically designed for smaller schemes coming to market it gives them access to the Aviva brand and balance sheet and capability. It means that they get from approaching us to quotation really quickly. And it's connected then to the reinsurance program that we have. So it provides a very quick process, very easy to get the quote and therefore to execute. So we have – I think we've done just short of 40 deals through that platform through the course of this year. And smaller deals tend to have slightly higher margins. And so that's why you've seen the margin on the business tick up. I would still guide you back to 3% for the full year but it has and is an important contributor. The outlook that I've talked about is some more sizable deals so we do trade in all ends of the market but in the specific Aviva Clarity and point that’s your.
Amanda Blanc: On Direct Wealth, yes we spoke last time about our confidence in the future for that. I mean we are very excited about the Direct Wealth opportunity. And we think that with the Aviva brand being as strong as it is that we are able to make the most of that opportunity and so hence you're seeing the investment that we put in here. Our huge customer base, obviously, the workplace base of 4.7 million customers, but also our wider customer base is all going to be incredibly helpful here. And we saw the new app launch in the first half. We're already seeing 2.5 times increase in downloads of the app if we look at quarter one to quarter two. We've launched Find and Combine, I spoke about it in the presentation, which is the tracing service. We've had 27,500 requests on that tracing service. So, we see a really good opportunity there. And we see this as being part of the connected wealth proposition which Doug and Michelle spoke to you about when we did the presentation, it must have been back last, last June, now it seems like not that long ago. And what we've recently launched on the 26th of July -- 25th July is the simple wealth proposition, which is a digital advice proposition on the direct wealth app. So, it's got some human coaching and support available as well. So, it is a digital fact find and a risk profile. And if somebody wants to proceed, they can pay a one-off fee, access an optional call with an Aviva Money Coach, open an ISA in a few taps and it's done. And I mean this is just step one. And we've done that in-house. We've built it ourselves -- we've used the expertise that we have. We know that only one in 10 people in the U.K. are paying for advice -- significant advice gap. So, we see the opportunity going on from there. So, a lot more to come I would say on that and the team are very excited. But all of this investment everything is in that £280 million profit trajectory you see for the wealth business. So, we're in a fortunate position of having the workplace business and the platform business supporting our ability to invest in direct wealth. Also, I should answer the other question on -- very excited there. On motor, I think you asked specifically about home and then also a little bit about motor. So, home obviously you will have seen the ABI stats I guess earlier this week. And effectively what you're seeing there is weather events and obviously the cost of supply going up. So, we're definitely seeing that new business rates on home are still going up and about 14% for us this year in home. The renewal rate is about 22%. So that suggests that there's still more to come there. In Motor, obviously, coming off the back of very high rating increases last year, you're seeing that the new business rate is down sort of low single digit and the renewal rate is up by about 30%-something. So, a slightly different dynamic going on in motor and home, but really good rating adequacy in the book. So, I think we're building off a position of strength there.
Unidentified Company Representative: Okay. We'll come to Andrew next.
Andrew Crean: Morning. It's Andrew Crean for Autonomous. Three questions if I can. Firstly, could you just say in a normal year with all this growth how much should we expect the SCR to grow? I know it's not really growing at the moment. Secondly could you unpick for us the wealth target of £280 million between the different workplace and the NA pension business? And how you get from where you are now? I mean is that is it a straight pull up to £280 million or will it be J-curved towards the end? And then thirdly if we can go on to Slide 8 where I think you said that the difference between capital-light and capital heavy will move from 45-55 to 30-70 that implies that the capital-heavy businesses will actually drop profit from about £0.66 billion to £0.6 billion while the capital go from £0.8 billion to £1.4 billion. I'm slightly surprised to see the capital-heavy businesses dropping notwithstanding heritage. I mean, you've got annuities which is great in there. And then on the capital-light side, how much of that growth is actually coming from the M&A that you've currently executed or plan to execute?
Amanda Blanc: Okay. Charlotte, do you want to do the first one?
Charlotte Jones: Yeah. So I don't know if I have a normal view of how SCR develops. It's a function of what's going on in the business. So if I look at the underlying OCG development versus say the underlying OFG, you can sort of see that obviously the OFG is dropping down into OCG, but there's some other drivers there. So if I think specifically around IWR, you've there seen that we've got a favorable SCR effect of a favorable runoff because we saw the rate movement so the SCR was larger from an opening perspective than it was in the prior year, so it's running off positively. I think that's probably about the sort of £50 million effect in the SCR this year. But then when I look at the general insurance business, although bigger volumes and bigger business would sort of intuitively think you'd get higher SCR, actually then the big business mix shift and the profitability kind of goes the other way. And then if I go back to IWR and think of the retirement business and the asset mix and when I look at the volume and the capital strain, whilst I would say the strain is within the normal range, it's to the lower end and part of that is particularly in the more liquid side, actually the corporate spreads as they are we've ended up with more gilts than corporate bonds. And so that's reduced the strength for the volume that we're doing. So you've got a number of different things going along. Then over time you've got a slight benefit sometimes from the diversification, as the business shifts or the diversification benefits that we see come through both intra and at the group level. So there's a lot of stuff going on. So I don't know that I have a normal view. And clearly, we set the budgets from an OFG and an OCG, the retirement business has a capital strain budget. We're all kind of working within that. But in any particular year, you've got a number of different dynamics happening.
Amanda Blanc: So on the Wealth targets, you said to unpick them Andrew. So obviously, we're not going to give you pound by pound. But I think I would just go back to the presentation that Doug and Michelle did back last year. So we would expect to get to that £280 million predominantly through growth in operating profit from the workplace business and the adviser platform. And you've seen that that -- there's a trajectory which is starting today. We don't think that that's a J-curve really. We see that that has been steady growth in those two businesses. Now clearly, at the same time, we are investing in the direct wealth proposition. So we don't see that direct wealth will make a significant contribution to the profit over that plan period. But we do believe that and it is all factored into us getting to that -- the investment is factored into us getting to that £280 million. So effectively, you can see that, the growth is going to come from that. The investment will go into direct wealth and then the growth from direct wealth really kicks on from that sort of 2027, which was the date that Doug talked about back last year. In terms of -- and this is sort of connected, I guess to your next question around the capital-light pivot. So there was quite a lot of stuff in your question there. So I'll just try and sort of break it down a little bit. So we expect the business to grow the operating profit 70% capital-light by 2026, so that's the sort of ambition that we're setting there. So clearly, what you saw today is that we're growing most quickly in the capital-light areas. So that's obviously one of the key drivers of that. And you're right we do expect the contribution from Heritage to reduce over time, so that's also going to be a factor. So over the longer term, we'd expect the strongest area of growth in those capital-light areas, and we would expect that to keep continuing beyond 2026 for all of those trends that I spoke about earlier. The capital-light businesses will drive better returns over time and obviously the structural trends will help that. So we're not only growing in areas with better returns, but we're also growing in areas where we've got competitive advantages, so we believe there's an opportunity to outperform the market there. So that acceleration in capital-light will positively grow higher return on capital over time, won't have a significant material impact on the solvency position in the near-term. And as we transition to capital-light the growth in earnings capital generation will outpace the growth in the capital requirements, therefore increasing the return on capital. You also got a benefit from diversification coming through there. And I think you had a question around the retirement business. So I don't think, we expect that to -- we still expect to be writing bulk purchase annuities individual annuities. It's just that one is growing more than the other. Charlotte have I missed anything?
Charlotte Jones: The M&A point.
Amanda Blanc: Okay. When we set the targets the full year, we obviously had announced Probitas, and we knew about AIG as well. So those are factored in, but nothing beyond that. So it's the M&A that's kind of within the circle, when we set the target so therefore part of how we get there. Obviously, if we do anything more than would be outside of that.
Unidentified Company Representative: Okay. Larissa?
Larissa Van Deventer: Thank you. Three from me as well, please. First on, bulks the second one on retail annuities and then the third one on solvency and the use of the excess. On bulk annuities, how do you -- and I suppose is a two-part question, but a follow-up on Andrew's question. If you plan to write £7 billion to £8 billion this year how do you pivot to 70-30 or is that a delayed target? And related to the £7 billion to £8 billion, how do you see the margins evolving over time? The second one on your outlook for retail annuities, we saw very strong market growth and individual growth from one of the other insurers yesterday, you all had double-digit growth as well. How long do you see that market continuing in light of decreasing rates? And the last one, you previously mentioned that above 180% solvency you would consider returning capital to investors and how should we think about that within the context of decreasing rates and also your bulk annuity ambitions?
Amanda Blanc: Okay. Charlotte, do you want to pick up the bulks?
Charlotte Jones: I'll do bulks and retail annuities. Yes. So look on bulks £7 billion to £8 billion is brings us very much in line with the 15 to 20 that we said, that we were going to do over this three-year period. So it's completely in line with the plans. And the businesses really don't work to volume targets the business works to capital strain. So it is always that that is the scarce resource that they have to solve for. And they do a very good job of that. I think in terms of the margin outlook what I would say is going back to Rhea's question earlier on Aviva Clarity what we've seen is quite a lot of higher margin business through particularly the second part of the first half. So you saw the margin in Q1 was about 2.9%, it's about 3.5% for the half year. So you saw that set up. What I said at Q1 was that the margin for the full year would be more back to the 3%. And as I look at that pipeline that's both -- well the transactions that drive the 4.1% that we've done by now on the pipeline through to the 7% or 8%, I would reconfirm that the guidance on margin is back down towards that 3%. Yeah, I mean going forward is crystal ball gazing. But I suppose what we have seen is that the benefits of the risk margin that came in at the back end of last year and helped elevate the 2023 margins have largely been competed away. So I think that's a reasonably good guide for going forward. Then I think you asked about individual annuities. Look the volumes are strong, up 10% reflecting that sustained customer demand and the volumes we saw in Q2 were higher than in Q1. We would say that we're still positive about the opportunities as in retail annuities as it goes forward. We're pleased and positive about sustained demand. I mean, I think trading conditions have been quite competitive. And one of the many advantages of our diversified business model is we've got different opportunities to allocate capital. So we've been disciplined on pricing in face of that competition and looked at all the other opportunities we have for the use of capital. And on the question, I think around capital allocation and solvency. So I think we don't think about this any differently to how we've always thought about it in that we have an amount of capital to allocate and we've got prioritization around what we do with that capital. So as we sit here today, we've invested capital into the organic growth within the business and you've seen that demonstrating coming through in the results, the growth across the business whether it's we've built new products as Aviva Zero 800,000 new customers or we've launched a new app or we've launched Direct Wealth or the Bulks business, we've invested in the business and that is showing good returns. The second area is M&A. And I think we've done targeted M&A and you've seen us use the capital well for that. The Succession Wealth acquisition, the Probitas acquisition, the AIG, so either to fill a strategic gap or to give us synergy and capital benefits. And I think -- so I think we've been careful about how we've allocated capital. But we've always said that we're not going to hold on to capital that we don't need. And we've returned over £9 billion of capital to shareholders over the last three years with the dividend and the buyback and the consolidation. Those are big numbers. And also we're increasing the dividend 7%. So I think -- I'm very biased in this, but I think we are delivering for the shareholders. We're using capital well to grow the business profitably. We're returning capital as we said we would, but we want to also give ourselves some optionality and you would expect us to do that. And I think we've sort of earned that. We've got four years of consistent delivery and we want that optionality to be able to take out an ambition for the business forward. There's lots of opportunities.
Unidentified Analyst: Okay. Should we go to Farooq. Have you still got mic?
Farooq Hanif: Hi, there. Farooq Hanif from JPMorgan. Three questions as well please. So, firstly, can you explain what you think is left for the UK government to do in terms of legislation or active actions to encourage long-term growth in saving and productive assets. So for example around D.C. contribution on legislation, on private assets in D.C. and where that's going? Second question, in IWR I think some of the areas where the numbers were certainly higher than what I expected were investment return related, so in annuities for example would you also characterize that subject to yields as being kind of sustainable? So not really any funnies in there. And the third point on debt leverage. So will debt leverage naturally decline on an organic basis? What were your intentions around where to keep that now that you're under 30? Are you happy to that decline or will you be willing to raise debt to keep it at the current level? If you could just explain the outlook for that, that would be helpful. Thank you.
Amanda Blanc: Okay. I'll pick up the first and then Charlotte can pick up the funnies and the debt. So on what we think there's left for the UK government to do, I mean obviously they're a new government, so I guess there's a lot for them to do. Let's break it down into the different areas. So, obviously, pension is a well-talked about topic in many respects and so we would be strongly advocating on things like workplace auto enrollment that the government continue to focus on that. I mean there have been 10 million people that have benefited from auto enrollment additionally over the last -- since it's been launched. But we still think there is a need to look at the age, at which somebody participates in auto enrollment and bring that down from 22% to 18%. We also think that the contribution rate needs to increase from 8% to 12% to make sure that people are having enough money to retire. 12.5 million people in the UK will not be able to retire well on the basis of current investments, because obviously you've got a lot of new savers that will not have any benefit of DB. So we think that there's a really good opportunity there. And clearly as a big player in the workplace pension market, 4.7 million existing members of pension schemes, we will benefit from that but we believe that that's really important for savers too. So there's a win-win in that. So I think there's a need to look at that. There's also a need to look at advice. And if we look at whether it's targeted support or simplified advice, we would urge the government to keep focused on that because we do think that individuals do need advice, less than 10% of people taking advice and you need advice earlier on -- they take it I think the average age is 59 or late 50s when somebody takes advice. What you need is to take that advice much earlier to know that you've got enough money to retire well. So we think there's quite a lot of work that needs to be done in that space. Again Aviva very well-positioned there whether it's with succession wealth, the full fat advice, the hybrid advice or the restricted device proposition and now the simple wealth advice proposition. The other area is then are around investment. And this is, of course, two sides of the same coin. Effectively if you get more people saving into pensions, and you get more people saving into growth, infrastructure, real estate, venture capital, you're going to get more growth in the UK economy, you're going to get better returns for the pension holders. So they can retire better. We're a big investor in the UK. We've invested £9.5 billion in infrastructure since 2020. We've got a real estate LTAF. As I mentioned earlier, we've got the climate transition LTAF and we're just about to launch the VC and growth LTAF. LTAFs are not new for us. The -- so we're really excited about the opportunity there. Take the £120 billion of our workplace pension business of AUM, and you can allocate -- there's already £2 billion allocated to real estate. If you allocate that to growth in VC or unlisted equities, effectively you've then got opportunities for Aviva investors as well. So it sort of all fits nicely together. And these are all things that the government is actively talking about. I'm on the National Wealth Fund working group with the Chancellor. We've been actively involved in the pension dialogue. We were at the roundtable a couple of weeks ago talking about that. And we've written papers on how we believe this should happen. So I think we're in really good shape on that. So we are very positive about the opportunities here.
Charlotte Jones: So looking for funnies, I'm probably going to disappoint you really. I mean, ultimately, the job that we have is to actively manage the assets with the liabilities that we have and to look for the best opportunities. But it's matching duration, it's matching all of those things. And so there could be some opportunity for re-risking. I talked about a higher level of gilts at the moment but that's all going to depend on whether spreads widen. And ultimately, we're quite well matched on interest rate movements. We would -- we do actively manage the back book. We look for opportunities there and we will switch to take advantage of those things. But it's all about the long term, and value and then again the link back to sourcing the right assets high-quality assets through the Aviva investors as well. So I don't -- there's no funnies in there. Part of our job is to do that. And if you take the Heritage in particular is kind of only two jobs it is managing the assets under management and managing the investment return, and we're showing good again capability to do that. In terms of debt leverage. So we are at just under 29%. In July, once we've redeemed that Tier 2 €700 million position. But -- and from here as we've said the main deleveraging has happened and we're into sort of actively managing the debt stack as we roll through it. So for this redemption, we had issued £500 million back in November. So getting ahead of that. So that's kind of how we'll look at things as it rolls forward. Ultimately, the leverage ratio appetite is very much about maintaining that AA rating. And so just being around and under that 30%, but if we need to tick up it or it goes down that is -- it's around there, because that is what really drives the rating agency view. So, yeah, as I said, it could tick up again, as we get ahead of refinancing and then it will drop back again, but we're comfortable with it just being just under 30.
Unidentified Company Representative: Come down here to James.
James Pearse: Hi, good morning, everyone. Yes. James Pearse from Jefferies. So first question just wondering what impact you think the new UK government might have on the UK motor insurance market? Labor in its manifesto said they'd crack down on rising UK motor insurance costs. So just interested to get your thoughts on how they might go about that? Second one is on just a kind of clarification point on the PYD in the UK. Would you characterize that strengthening as a one-off in H1 and I guess what should we expect in H2? Is PYD included in the underlying combined ratio that you said will improve? And then just directionally, what are your interest rate assumptions going forward in your 2026 targets? And how should we think about interest rate sensitivity in terms of the split between capital-light and capital heavy?
Amanda Blanc: Okay. Thank you. So on the motor insurance and the labor government. So we talked – just talked about how positive we were about the UK. And we do understand the motor is a sensitive issue, right? So I think if you put yourself in the shoes of a customer and somebody that needs their car to be able to drive to work, I mean clearly you've got to be able to afford to insure that car to be able to do that. So we totally get it and set against the cost of living challenges. But I think people have got like quite short memories. And what we need to remember is that motor rates decreased during COVID, because frequency reduced and this market is super, super dynamic, right? It's ultracompetitive. And what I don't see is massive profit tiering in this market on motor insurance. So let's cast the memory back to frequency reductions that was given back in terms of premium. So we set off from a small – a lower base. Then what you need to factor in is clearly supply chain issues, war in Ukraine, increased labor costs, theft increases and what you see is a market combined operating ratio, I think in the most recent E&Y stats of 112%, right? So I don't think that that feels like a market that is profit tiering. So what you have to do I think is carefully explain the situation around the market. Maybe go back to what rates were in 2027 adjust for inflation – 2017, adjust for inflation bring forward and then have a look really at what the real rate increase actually is. And I think you'd see it's pretty minimal. So I think that would be our position. We do not believe there's a need for intervention clearly. We think the market is functioning perfectly well. There are plenty of competitors, it's dynamic. What we think is important is that we can offer products to our customers that where they can take out covers like for example, if they don't want windscreen cover, they can take that cover out and reduce the price of that. We've done that with our Quotemehappy Essentials brand. So I think the onus is on the insurance companies to basically be able to offer propositions that customers can afford. Charlotte?
Charlotte Jones: So PYD in the UK, I mean the things that I went through so the specific adjustments to some larger losses from the past the COVID BI inflation, they're all specific to what – when we did the valuation in the first half are things that we saw. And so – and we do that with a best estimate view in mind so that we have a neutral outlook. So I don't have – I have therefore a neutral outlook as to how that could emerge in the second half. And yes, I don't know if there's any more to say on that. In terms of its PYD in underlying. No, so weather and PYD are outside ultimately underlying is to do with pricing efficiency, the mix shift -- those type of things are what drive my underlying. And then I look at my underlying claims ratio and how that is moving, but that's very much kind of general volume rather than anything coming in lumpy form. And then in terms of interest rates I mean we set the plans that underpin getting to the £2 billion profit target and all of that based on a full structure of yield curve at the beginning of the year. So, in the plans to get to £2 billion, for instance, for all the growth things that we've talked about I would expect my LTIR to drop back as rates are expected to come down in the longer term. So, I'm factoring that into the way we build the profitability outlook that underpins those targets. When it comes to the balance sheet management effectively, we're well matched. We look -- you can see the interest rate sensitivities in the deck. And most of the interest rate risk does come from the more capital-intense parts of the business, but that's where we are well-matched and do specific hedging of that exposure and that's really aimed at making sure that we've got good sort of boundaries around how the solvency ratio moves. Answer
Unidentified Company Representative: Should we come over to Dom over on this side?
Dominic O'Mahony: Dominic O'Mahony, BNP Paribas Exane. I've only got one question, but luckily I've got three subparts. The one question is really just unpicking the spectacular growth in capital generation. I mean 27% increase is not something you see every day. If I think about the components of that one thing that strikes me is the general insurance increase is nearly 20%. The profit grew about 7% across UK&I Canada GI. Can you just help us understand why the capital generation there was so much stronger? Because I might have thought the accounting is now quite symmetrical. The other component is of course IWR new business which is much stronger. My guess is that given the volume of BPA coming in in the second half and your comments about margin, you wouldn't necessarily expect the same type of print in H2. Is that right or have I got that wrong? And then the third -- it is a quick one. Charlotte, so six months ago you really emphasized I think don't get ahead of £200 million for management actions for the full year. I know it's an H2 review point. I'm wondering whether you have any further comments or insight into how that's looking? Thank you.
Charlotte Jones: Well ,so let's unpack the capital generation. So, as you say IWR's a big contributor of it, so it's £120 million. And of that it's the OFG, which was about £67 million, then it is that SCR favorable runoff which has given us effectively an additional £50 million. It is then also related to the capital strain coming through as well-being lower for the margin that we're writing. In the GI business, it's coming largely from the UK. And there I think what we're seeing is that for the growth in the portfolio which you would therefore expect a bigger capital strain to come from because of the mix shift and the overall profitability of it it's kind of working in the opposite direction. And then you're getting some additional diversification benefits coming from the different components in the way the SCR is calculated. I mean, I've then got – what else I have in OFG – I have got an improvement in AI this time. I have got corporate center is largely OFG. And in fact if anything at the corporate center level I'm seeing some negative diversification of effect. But -- and then I look at the international businesses and actually they've generated decent capital this period because they are quite capital intense, but they do drive big margins. So it's coming from across the piece really. And I don't -- I think it has been a particularly good period because of all of those things coming together and I wouldn't necessarily expect any of those to repeat. And what was the other thing? Management actions. So I would guide you to the 200. Again I mean last year we were definitely we saw the longevity effects were quite considerable. And then we had the effects of announcing the partnership extensions which came through as well. So I would encourage you to keep with the 200 guidance.
Unidentified Company Representative: Can we come to William?
William Hawkins: Hi. Thank you. I'm William Hawkins from KBW. Genuinely just the one question. There's quite a convergence in the combined ratios between Canada and the UK going on three points better back in 2022. Now we're down to one point. I appreciate there's a lot of moving parts in that. But can you just remind me what structurally should be the difference between the Canadian and the UK combined ratios if anything and how wide should that gap be? Thank you.
Charlotte Jones: So look I think when I look at what's driven the core movements this half it has been that really good strength in personal lines in the UK and good progression in commercial. And what we saw last year in Canada was a really strong Commercial Lines business performance sort of untypical level of large losses coming through in the first half last year. This year they've been more stable or more normal. But -- so I mean I think over time we go back to -- are we trending medium term towards the sub 94? And what we've had in Canada is quite a big component of it being sub 94 and we don't expect it. We've seen it tick up this time whereas in the UK the pricing actions the efficiencies are driving it down. But there's still work to be done on price adequacy in Home in the UK. There's still work to be more work to be done I think in price adequacy and Personal Lines in Canada. So I think overall we're trying to get medium-term to this so far elusive sub-94 for the whole portfolio. And I would expect that's more about the UK continuing to improve than it is -- and therefore, closing further the gap between the two.
Unknown Executive: Okay. We come to Nasib just in the aisle.
Nasib Ahmed: Thank you. Nasib Ahmed from UBS. So first question on the solvency UK four points benefit that you've got in 1H. I think in the text you're saying there is a review in the second half and the PRA is going to look at it in the first quarter. Is there a risk that that reverses out? And second subpart to that question, is there more to do there? And third subpart sorry is there -- is that an on-fund loss and in SCR gain, the way I read the tax it seems like that is the case that there's a own-funds loss and an SCR gain that's driving the four points? Second question on AIG/protection, you grew 49%. But given that you're a number one player you've just done an acquisition, do you expect to lose some market share? And related to that, how much distribution overlap did you have with AIG in the first place? And then finally on rates, what kind of sensitivity do you have to the balance sheet and profitability for the rate going up? And what do you expect the market -- how do you expect the market to react if the rate goes up? Thanks.
Amanda Blanc: Okay. Interest rate. What did you say?
Nasib Ahmed: Ogden, yeah.
Amanda Blanc: You said, Ogden, yeah. Okay, sorry. Do you want to do one and three and I'll do AIG?
Charlotte Jones: Yeah. So on the consultancy reform, I don't know if you remember, but we took about a six-point benefit at the full year-end last year and that was all around the risk margin change. So that was six points. The four points now is now that the regulator has landed all of the changes to the matching adjustment. And it was really those two were the big kind of two big buckets. And we've been highly engaged with the regulator through the development and ultimately the rules coming through. So the four points comes from three main areas. So they've removed the cap on sub-investment-grade assets. So that's given a little bit of benefit. And they've removed -- we've got a notching now on the way the fundamentals spread. So it's not full credit rating. It's -- you can look at the notches. So those are kind of two benefits. But then there was another piece almost working in the opposite direction, which is where you have to make an adjustment to your fundamental spread, where you've got assets that you think have risks that perhaps aren't obvious or fully reflected in the credit rating agency. And that's a kind of -- that's a bit of a one way you can do that on the negative. You have to do that on the negative, you can't do that on the positive. So we've wrapped all of those through together in that four points, so that gives us an overall benefit of the 10. We're largely done. The formal attestation doesn't happen until Q1 2025. So frankly, as we draw up the year-end balance sheet and get ready for that attestation and obviously the balance sheet will have moved, by then we could see some change but we feel like we're in a good place and hence wanted to get this all behind us. The things that are still to be done changes to internal model governance, some changes simplification on the transitional arrangements again, none of those expected to be anything material. So we do feel comfortable in what we've done. And of course, the big benefit to go after is that we will now be able to invest in assets that have highly predictable cash flows and get the matching adjustment treatment on those. So our focus has really been let's get this done, let's move through it, and then focus on that. But as I say, obviously, that at attestation when we draw the full year balance sheet is still out there to be done, but don't expect any movement. And it's mostly in the capital requirement. So it's in the SCR that is coming through with a tiny or a small loan fund hit from the add-on on the fundamental spread. Would you want to AIG...?
Amanda Blanc : Yes. Okay. So on the AIG deal, so what it gives us is a 1.3 million individual customers individual protection customers a 1.4 million group protection customers. So the combined business is obviously a very, very strong business. And there is quite a lot of good opportunity so that the AIG business had a really good SME and high networth proposition. And so what we've done in the last couple of weeks has announced what our product set is going to be. I think that was a couple of weeks -- this week, Doug, or last week. I mean, clearly, we would not expect for the new business levels to be the same for both organizations add them together and that to be the number that that's clearly not going to happen. But -- and because the distribution is similar. There are some partnerships within the AIG business, which are great. So, yes, we would expect there to be some normalizing out of that new business. But this deal was as much about getting these additional product sets, but also the synergy on both cost and capital. So, a combination of all of those things. So, yes, we're very happy about how it's progressing so far.
Charlotte Jones : And then on Ogden, I mean, there's really no new news. We're monitoring the development. We're kind of in a good place with our current assumptions. Frankly, the range of where it could land is uncertain, so I wouldn't want to speculate. But we expect conclusion to come out early January 2025. So that's -- yes that's where we are on Ogden.
Unidentified Analyst : [indiscernible]
Charlotte Jones : No.
Unidentified Analyst : [indiscernible]
Charlotte Jones : No.
Unidentified Company Representative: Okay. Right let's come down to Abid and then we'll finish with Mandeep and Stephen before we close out.
Abid Hussain : Thank you. It's Abid Hussain from Panmure Liberum. I think I've still got three questions actually. One is on the earnings/mix long time -- long-term. Do you anticipate Aviva investors to still be part of the mix in three to five years' time? Second question is on BPA volumes. You're set to hit the three-year target is it worth resetting the target beyond 2024 in terms of volumes? And then also can you just give us any color on funded re? Is that an important play for you? And then third question is on equity release. What's the outlook in 2H and beyond given the reduction in base rates?
Amanda Blanc : Okay. So the three to five-year question on Aviva Investors is, of course, it's going to be part of the business. I mean, I think we've talked earlier about the huge role that the Aviva Investors team and the IRW and our team play together, I'll remind you £1.5 billion of asset origination, which has been originated by Mark's team which contributes to the margin that you're seeing on Doug's BPA business, where the profit comes out that's like for us to manage. Effectively what we want is for the two businesses to be working together really, really well. 70% of the wealth flows are going into Aviva Investor product, and the long-term asset fund, the pension growth fund plays completely into the pension changes and in UK investment opportunity, and Mark's team, watch their expertise, real assets multi-assets. So I think that that plays -- that all fits together really well. On BPA volumes, we're not going to set a new target today. Thank you. It was nice of you to ask though. We said £15 billion to £20 billion, we will achieve that. I think Charlotte talked about the way that we're now looking at this is around the capital strain and setting the capital. I think that's probably a better way of looking at it. And no, we're not going to say that today either. But Doug and the team will manage that. Our funded re our exposure is relatively low. I think it's about 5% of the…
Charlotte Jones: Let me pick the one of asset you picked up on that. So the funded re is relatively modest, it's about 5% of the MAP assets. And it's always transacted with highly rated reinsurance counterparties. We've done minimal funded re this year. But it is part of our toolkit. So, as you I think are alluding to the regulators had quite a lot to say on funded re. And we -- as on all topics, we engage extensively with them. They set out their expectations in the recent policy statement accompanied by a dear CEO letter and you need to now do a GAAP analysis of what they're setting out in there to your program. Ultimately we've been looking at that when it was in the disclosure draft form and we're well advanced on our sort of formal GAAP analysis. But we really don't see challenges with compliance and we don't see it affecting the way we do our program. But as I say, it's a relatively minor component but it's still an important part of the toolkit. On equity release, look, I mean the higher rate environment makes it generally less an in-demand product. We would hope to grow our volumes and market share in the second half of the year. We've made some changes to the way we look at the LTVs and taking some pricing actions but it really is -- so we want to be competitive but it really is dependent on the prevailing economics.
Unidentified Company Representative: Okay. I hand back to Mandeep.
Mandeep Jagpal: Hey. Good morning. Mandeep Jagpal, RBC Capital Markets. Two questions from me please. Mostly just follow-ons. First one is on the 70% of flows that went into Aviva Investors. What is the average fee margin on these flows? And then related to that, you've mentioned a couple of times that you have a number of LTAFs, are these currently included in your workplace default strategy and some of the what growth offerings now include access to private assets as a default? And second one a follow-up on CSM. A large benefit for substance changes in the second half of last year. Can you talk about your observation are heading into the launch of review this year and maybe what you can expect from that?
Amanda Blanc: Okay. So, I don't -- we don't have the fee margin. So we won't go into that. In terms of the current LTAFs the -- they're not part of the workplace default at the moment. I don't think the real estate and the -- are they Doug? Real estate is, but the new LTAF that we will launch which will be the venture in growth capital, clearly, we would look to make that part of that default but that is not always a decision for us. That could be a decision for the employee benefit consultants the people administering the pension schemes. But obviously, if it's an attractive proposition, with good returns and we've got -- we're seeding £150 million of our own venture capital into that fund. So it's got a track record in terms of venture performance then we would expect that to be part of that going forward. And if you then take that £120 billion of our workplace schemes then there's a real opportunity there, which we are excited about. The CSM?
Charlotte Jones: Yeah. So I think you're saying -- I think your question is around assumption changes expected in the second half of the year. So I've guided on sort of the £200 million management actions and as Solvency II definition, but actually there's a significant amount of overlap between the way the CSM treats assumption changes and or the same sort of number is relevant for both. When you specifically ask around longevity, I mean, we saw a sizable release on longevity, as we made a step change in the tables and the outlook. I wouldn't expect anything of significance, but all of that work takes place in the second half of the year, as we assess the tables that come through combined with our experience and our profile. But again, I would expect some positive assumption change effects in the second half of the year both from a Solvency II perspective and going into the build of the CSM, but they won't always be the same just because the definition of what is one and what is another is different between the two codes.
Unidentified Company Representative: Okay. We have a final question from Steven.
Steven Haywood: Thank you. Steven Haywood from HSBC. Just two questions, mainly on sort of guidance if you can. Your 94% combined ratio target can you be more specific about when you think you might achieve this below? And then on the full year 2024 group operating profit, can you provide some growth rate guidance here? Should we be expecting a similar 14% to what we had in the first half? Or are we back to the sort of mid- to high single-digit growth levels? Thank you.
Charlotte Jones: Look, I think I'm going to be sounding a bit repetitive, I think here. But in terms of the medium-term core below 94%, we're very clear that it remains the right midterm aiming point. And we really are continuing to make progress there. The underlying core is continuing to improve with the rating discipline, the portfolio mix shift that we've done really focus on disciplined underwriting and building the growth on increasingly scalable platforms, are all the big drivers and we hold the underwriters to very high standards, and keep that disciplined momentum. I think though, as again to sound repetitive, in the higher rate environment, we consciously balance then underwriting margins, underwriting profits and overall operating profit. So it's very much the right aiming point for how we think of the mix shift and all the underwriting actions. But economically, if it makes more sense to be slightly above 94 for longer, because of the other benefits to operating profit and capital generation, then we do. So I'm not going to put a data time or day of the week on it. I think it's clearly not this year, and I don't anticipate it being next. But all the right action is carrying on. And then in terms of operating profit, I mean I think I probably -- in the previous era of IFRS 4, you'd get certainly on the IWR profits for the retirement business and anything assumption related would have a sort of second half that was higher than first. I mean, I think the momentum of the business is good and strong. We've got a good grip of and line of sight of what we're doing. So, I would expect that the second half to be another strong operating profit delivery to a similar percentage increase for the full year, as you've seen at the half year.
Amanda Blanc: And with that high point, thank you very much. Gosh, we've -- it's 10 o’clock. We really appreciate all your questions. I guess that shows that there's nobody else reporting today. And we took through nearly three questions from everybody. So really, really appreciate that. Obviously, the IR team are around to follow up on any more detailed questions. But, thank you very much for coming in. I appreciate it.